Operator: Thank you for standing by. I am Augusto, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hamilton Beach Brands Holding Company Q2 Earnings Conference Call and Webcast. [Operator Instructions]. I would now like to turn the call over to Lou Anne Nabhan, Head of Investor Relations. Please go ahead.
Lou Nabhan: Thank you, Augusto. Good morning, everyone, and welcome to the Hamilton Beach Brands Second Quarter 2024 Earnings Conference Call and Webcast. Yesterday, after the stock market closed, we filed with the SEC our Form 10-Q for the quarter ending June 30, 2024, and we issued our second quarter 2024 earnings release. Both documents are available on our corporate website. Our speakers today are Greg Trepp, Chief Executive Officer; Scott Tidey, President; and Sally Cunningham, Senior Vice President, Chief Financial Officer and Treasurer. Our presentation today includes forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in either our prepared remarks or during the Q&A. Additional information regarding these risks and uncertainties is available in our 10-Q and our earnings release and our annual report on Form 10-K for the year ended December 31, 2023. The company disclaims any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call, if at all. And now I will turn the call over to Greg.
Gregory Trepp: Thank you, Lou Anne, and good morning, everyone. Thank you for joining us. Our agenda today is that I will make some brief opening comments. Scott will discuss our performance in more detail. Sally will review our financial results. After that, we will take your questions. We are pleased to deliver a very strong second quarter revenue of $156.2 million was a second quarter record and increased 14% from a year ago. Starting with the third quarter of last year, we began to show significant year-over-year improvement in our gross profit margin. And every quarter since that time, we have delivered above our historical range as our team has done an effective job keeping our gross profit margin strong, while remaining competitive in the marketplace. The second quarter of this year, gross profit margin was 25.9% compared to 20% a year ago. Our operating profit in the second quarter of $10 million increased significantly from last year and was driven primarily by our revenue growth and gross profit margin expansion. Another achievement that began in 2023 was a significant progress in reducing pandemic-related excess inventory and the corresponding debt to more normalized levels. As a result of our disciplined focus on all elements of net working capital, we have made further progress this year. As of June 30, of this year, we generated $37 million of cash from operating activities and used it to reinvest in our business and return value to shareholders. We feel very good about the strength of our financial position as we enter the second half of this year and believe we are well positioned to deliver excellent results for the full year 2024. Finally, I am pleased with the progress and seen this transition as Scott has assumed the role of President since the Board elected him to that position in February of this year. Our long-planned succession process is proceeding very well. And now I will turn it over to Scott.
Scott Tidey: Thank you, Greg. I’m happy to reiterate Greg’s comments that we are pleased with the excellent financial results we have achieved and that the momentum we carried into this year has continued. Our financial success has been driven by continued progress with our strategic initiatives. These initiatives have enabled us to continue to deliver revenue growth that has outperformed the small kitchen appliance industry, which has been modestly down this year. As you’ve heard, our revenue increased by 14% in the second quarter. Let me discuss the initiatives that have had a particularly strong impact on our revenue growth. First, our focus on driving the growth of our flagship brands, Hamilton Beach and Proctor Silex in our core North America market. In the second quarter, revenue for the core consumer products increased 13%. We have gained market share across North America overall and in several individual categories. These are outstanding achievements that are directly attributed to our exceptional strong culture of innovation and deep capabilities for new product development. Our company has a long history of developing innovative solutions that improve everyday living in the small appliance category. Our team study consumer needs and pain points, and then we refresh existing products or develop entirely new products as we work to delight consumers. We continuously hone our innovation skill set that we can generate even richer consumer insights -- products with unique and/or proprietary consumer benefits, of course, yield more revenue and profit, such products are easier to place a retail and tend to keep placements longer. Our goal, therefore, is to maximize innovation with unique consumer benefits. Our new product offerings in the coffee category include our FlexBrew Advanced 5-and-1 coffee maker, other new coffee makers, espresso machines and kettles. New motorized appliances include regular personal blenders, hand and stand mixers and juicers. In our heat group, we have new slow cookers, including models that do frost, a number of air fryer toaster ovens and indoor steering grill with an infuser, toasters, roasters and griddles, and a specialty item like our Casadio [ph] maker. We couldn’t be more excited about our lineup of new products and how well retailers and consumers have received them. Our goal is to further increase our growing share for our core brands. We will continue to both significant resources to investing in our core competencies that are critical to creating a competitive advantage, including innovation, new product development and robust digital marketing. Next, I will discuss our progress to gain share in the premium market. In the second quarter, sales of premium products increased 20%, another outstanding achievement. Our chief brand premium Garment Care products continue to make a significant contribution to our sales growth in this market. She is one of the premium brands that we license. The brand is incredibly strong in the high-end beauty and personal care market. We have leveraged this outstanding reputation for the benefit of our chief brand irons and garment steamers. We place significant emphasis on innovation and new product development for our chief products. This year, we have introduced 3 new irons in a garment steamer featuring CHI’s Lava technology. Lava is a great key conductor, and we’re excited to deploy this innovative technology in our products. We have generated significant incremental and new placements of our CHI line [ph] and expect this brand to be a meaningful contributor to our sales and premium products this year. Under an exclusive multiyear agreement, the Bartesian premium cocktail maker has also been a -- performer in our premium market lineup. This year, we are extending the line to include a duet model that features two spirit bottles as compared to the four bottles that come with the original model and is available at a lower price. We will also introduce a premier model and a cordless model. We’ve been pleased with our trademark license agreements for our lines of Clorox air purifiers and Brita Hub, countertop electric water filtration systems. This year, we are extending our Clorox line with our largest yet room air purifier as well as a countertop steam sanitizer and a Clorox humidifier. We are also adding a compact model to our Brita Hub product. Note that our Clorox and Brita products also provide a revenue stream from consumable filters. This year, we introduced our newest premium brand, Numilk, as part of an exclusive multiyear agreement. We’re providing the next generation of specialty appliances to create a variety of fresh plant-based milk products. The Numilk home machine has just become available on certain e-commerce sites, and our sales team is pursuing additional opportunities in retail stores. Our owned premium brands, Hamilton Beach Professional and Weston also benefit from our innovation and new product development and continue to perform well in the market. We plan to continue to support the growth of all premium brands with new product development, digital marketing as well as adding new brands through additional partnerships or acquisitions. Next, our strategic initiative to lead in the global commercial market. In the second quarter, revenue from our global commercial market increased 5.5%. We are a leading provider of commercial small appliances into the food service and hospitality industries worldwide. We focus on developing products that create a competitive advantage in our heritage blending and mixing categories as well as products that provide for expansion in new categories, including the food service operations that typically exist in the back of the house. Our commercial products are sold in more than 100 countries and more than 50% of the revenue is from outside the U.S. Building the strength in e-commerce, which is becoming more important in the commercial market is also a focus. The strategies that we were implementing this year to drive continued growth of this business include successfully launching our new powerful Summit Edge Blender. Increasing our focus on food processing products such as our BigRig immersion blenders, leveraging new business we have obtained with large hotel chains in the hospitality industry, continue increased sales with cruise ships, leveraging our partnerships with Bartesian and Numilk. Bartesian sales are focused on restaurants, bars and hotels and Numilk sales have particularly strong potential with coffee shops. And finally, we continue to build strength in digital marketing. We are very optimistic about the potential for the global commercial market to provide significant opportunities in terms of revenue growth and margin expansion in future years. Next is our initiative to accelerate the growth of Hamilton Beach Health. While this business is not yet having a material impact on our financial results, we are excited about the growth opportunities we believe it provides, and there have been several accomplishments this year that I’d like to highlight. Since this market is still new to us, let me recap some of the key points we’d like for investors to understand. In 2021, we began pursuing opportunities to increase our participation in the large and fast-growing home health and wellness market. Rapid growth is being driven by technology, innovation and a growing shortage of medical staff that formally treated certain conditions in office settings. New solutions such as a remote therapeutic monitoring or improving accessibility to health care services for many people. They enable providers to identify changes in patient status and facilitate faster interventions. Most importantly, they enable patients to participate more actively in their health care management, leading to more favorable outcomes. We created the Hamilton Beach Health brand, drawing on decades of experience as a trusted resource in the home. In February 2024, Hamilton Beach Health acquired HealthBeacon PLC, a medical technology firm and strategic partner of ours. The acquisition combines the trusted brand name of Hamilton Beach and our leadership in innovation, engineering, product development and distribution capabilities with HealthBeacon’s digital expertise, patented technologies and customer relationships. HealthBeacon got its start as a developer of digitally connected devices that enable patients to manage at home chronic conditions that require the use of injectable medications, and it provides other health services. The primary system that we provide is called the Smart Sharps Bin from Hamilton Beach Health. Patients received a countertop device that is connected to an app that uses patented technology to provide medication reminders, tracking and 24/7 patient support. The countertop device has a protected container inside of service as a receptible used Sharps. Once the Bin begins to fill up, technology provides an alert for a new one to be sent automatically and the patient returns the container with used sharps and a prepaid package for safe disposals. This system is sold primarily through specialty pharmacies. These health care providers appreciate that our system supports patient adherence to the prescribed treatments, which in turn improves health outcomes. The revenue model is subscription-based and has a significant higher margin than other products in our portfolio. We believe HealthBeacon is an attractive investment with the potential to increase shareholder value over time as the business is scaled and expanded. Growth plans, including adding new patients with existing specialty pharmacy customers, attracting new specialty pharmacies and increasing the number of conditions are treated -- and increasing the number of conditions that are treated using the system. As previously discussed, our Hamilton Beach Health business is expected to have a modest operating loss [ph] in 2024 due to planned investments in the business as HealthBeacon continues its start-up phase. Hamilton Beach Health is expected to contribute to operating profit in 2025 and beyond. Hamilton Beach Health is also exploring additional collaborations to further expand our focus on providing home health care management solutions. In closing, it has been rewarding to see our team accomplish so much during the first half of this year. We’re excited to soon enter the holiday season. We believe we are well positioned to continue to build upon the momentum we carried into 2024 and which we have advanced as the years unfold. I reiterate Greg’s comments that we expect to deliver a very good performance for the year 2024. And now I will turn over our discussion to Sally.
Sally Cunningham: Thank you, Scott. Good morning, everyone. I will start with our second quarter 2024 results compared to the second quarter of 2023. As you have heard this morning, we are pleased with our performance. Total revenue in the second quarter was a record $156.2 million. Quarter-over-quarter revenue increased 14% based on higher volume and a favorable mix, partially offset by expected average price decreases. More than half of the growth is attributable to the U.S. consumer market, which reflected the incremental and new placements that Scott discussed. Revenue increased in our Mexican and Latin American markets, where our teams have also added incremental placements and new business. Revenue decreased in our Canadian market, which continues to experience some overall weakness. In our global commercial market, revenue increased 5.5%. Also included in the second quarter was new revenue from our HealthBeacon acquisition, which was immaterial. Gross profit totaled $40.5 million or 25.9% of total revenue compared to $27.4 million or 20% of total revenue in last year’s second quarter. This 590 basis point expansion in the gross profit margin was attributable to lower product costs and a favorable product mix. Selling, general and administrative expenses increased to $30.4 million compared to $26.6 million in the second quarter of 2023. About 60% of the increase is related to the addition of HealthBeacon’s SG&A expenses. The remainder is attributable to non-cash incentive compensation related to stock price appreciation as well as increased advertising expenses. Operating profit increased significantly to $10 million compared to operating profit of $700,000 a year ago, reflecting our strong revenue growth and gross profit margin expansion. Net interest expense was $115,000 compared to $773,000 a year ago. This reduction is on lower debt levels and higher interest income, about a 50-50 split. Income tax expense was $3 million compared to $114,000 a year ago, which is commensurate with our change in operating profit. Net income was $6 million or $0.42 per diluted share, a significant improvement compared to net income of $100,000 or $0.01 per diluted share a year ago. Now turning to our balance sheet and cash flow. For the six months ended June 30, 2024, net cash provided by operating activities was $37.1 million compared to cash provided of $57.3 million a year ago. Net working capital in the current period provided $38.8 million compared to $69 million a year ago. The 2023 and 2024 period benefited from the continued focus on collections that led to DSO improvements, the 2023 period benefited from significant excess inventory reduction activity. Capital expenditures were $1.5 million in the current and prior year periods. We allocated our strong cash flow to fund the acquisition of HealthBeacon in the first quarter of this year and to return value to our shareholders through the quarterly dividend and share repurchases. We paid $3.1 million in dividends during the second quarter of 2024. Our Board has approved a stock repurchase program for the purchase of up to $25 million of the company’s Class A common stock outstanding, starting January 1, 2024, and ending December 31, 2025. During the 3 months ended June 30, 2024, we repurchased 220, 212 shares at prevailing market prices for an aggregate purchase price of $4 million, leaving $21 million authorized for repurchase. We continue to repurchase shares in the third quarter. Net debt or total debt minus cash and cash equivalents was $12.8 million compared to $57.8 million on June 30, 2023. Our revolving credit facility expires on June 30, 2025. Given current market conditions, including unfavorable pricing terms, we have not yet completed our refinancing of the facility. And accordingly, all amounts outstanding have been classified as current liabilities on the balance sheet. Based on the current status of the refinancing and our history of successfully refinancing our debt, we believe that it is probable that the facility will be refinanced before its maturity. We believe that funds available from cash on hand, the facility and operating cash flows will provide sufficient liquidity to meet our operating needs and commitments arising during the next 12 months. In 2022, our Board approved the termination of our overfunded U.S. defined benefit pension plan. Since that time, we have engaged in a thoughtful process and converted the fund to conservative investments during the termination process. Benefit obligations under the plan will be settled through a combination of lump-sum payments to eligible plan participants and the purchase of a group annuity contract, under which future benefit obligations will be transferred to a third-party insurance company. We expect to finalize the termination process in the third quarter of this year. Upon termination, the deferred loss within accumulated other comprehensive income will be recognized as a noncash charge and reflected in net income. The deferred loss is $6.5 million as of June 30, 2024. More importantly, we will benefit from the surplus assets in the plan, which were $12.2 million as of December 31, 2023. We plan to use the surplus assets over the next few years to fund our other existing employee retirement benefits, which may include the company match for our 401(k) Plan and/or profit-sharing awards. Planned use of the surplus assets will free cash that otherwise would have been used for these purposes, thereby increasing free cash flow in 2025 and 2026. Let me turn to our outlook. In 2024, the retail marketplace for small kitchen appliances is expected to be modestly below 2023. As Scott reported, we expect that future progress with our strategic initiatives will enable us to continue to deliver above-market revenue performance. As we look towards the rest of 2024, we expect full year revenue to increase modestly and operating profit to increase significantly as compared to the full year of 2023. I’d like to add a little more color to our outlook. As Greg mentioned in his opening remarks, starting in the third quarter of 2023 and each quarter since, we have reported significantly expanded revenue, gross profit margin and operating profit. As demand, price and costs have normalized and because of the favorable impact of our focus on cost management and continued progress with our strategic initiatives. As we move into the back half of 2024, our growth comparisons will begin to cycle the normalized results that began in the third quarter of 2023. With respect to our revenue outlook, again, we expect full year revenue to increase modestly. We expect the revenue growth that we achieved in the first half of this year will be stronger than our estimated revenue growth in the second half due to these year-over-year comparisons. In the first half of 2023, revenue decreased by 9.7% as compared to the first half of 2022 due to soft consumer demand and conservative retailer inventory management in response to interest rate uncertainty in early 2023. These unfavorable trends significantly rebound to normalized level in the second half of 2023, when our revenue increased by 3.8%, reflecting the rebound in retailer order patterns as well as our incremental placements of compelling new products. The momentum created in the back half of 2023 has carried into 2024. Moving to operating profit. Again, we expect operating profit to increase significantly as compared to full year 2023. Operating profit growth in the first half of the year is expected to be stronger than the growth we have estimated for the second half. Again, as we cycle over the expanded growth that started in Q3 of 2023. In the first half of 2023, operating profit margin decreased by 7.8% due to the revenue decline that I just referenced, compressed gross profit margin and the non-recurrence of a $10 million insurance recovery in the first half of 2022. In the second half of 2023, however, operating profit margin increased by 5% as these unfavorable trends significantly rebounded and demand pricing cost reached normalized levels. In addition, our cost management efforts and progress with our strategic initiatives enabled us to expand our gross profit margin well above our historical range to 26.5%. We expect that gross profit margin in the second half of 2024 will be comparable to the second half of 2023. That concludes our prepared remarks. We will now turn the line back to the operator for Q&A.
Operator:
Gregory Trepp: Thank you. As you heard today, we are pursuing multiple avenues to continue to grow revenue, expand margins and deliver strong cash flow. Our company is committed to increasing shareholder value over the long-term. For the year 2024, we expect to deliver a significant increase in operating profit, reflecting our revenue growth and gross profit margin expansion. We look forward to finishing this year in a very strong position. That concludes our report for today. Thank you again for joining our call.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.